Operator: Good day, and thank you for standing by. Welcome to the Smurfit Westrock 2025 Q2 Results Webcast and Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Ciaran Potts, Smurfit Westrock Group VP, Investor Relations. Please go ahead.
Ciaran Potts: Thank you, Heidi. As a reminder, statements in today's earnings release and presentation and the comments made by management during this call may be considered forward-looking statements. These statements are subject to risks and uncertainties that could cause our actual results to differ materially from our expectations and projections. These risks and uncertainties include, but are not limited to, the factors identified in the earnings release and in our SEC filings. The company undertakes no obligation to revise any forward-looking statements. Today's remarks also refer to certain non-GAAP financial measures. Reconciliations to the most comparable GAAP measures are included in today's earnings release and in the appendix to the presentation, which are available at investors.smurfitwestrock.com. Before handing over to Tony, I would ask you to limit your questions to 2. And should you require any clarifications on what we are disclosing today, Frank and I will make ourselves available after our call. I'll now hand you over to Tony Smurfit, CEO of Smurfit Westrock.
Anthony Paul J. Smurfit: Thank you, Ciaran, and good morning, everybody. I'm joined today by Ken Bowles, our Group Executive Vice President and CFO. I am delighted to report a strong second quarter performance as we continue to deliver fully in line with our stated guidance. Ken will take you through our financial performance in greater detail. In terms of headline numbers, we are delivering adjusted EBITDA of $1,213 million, and a good adjusted EBITDA margin performance of 15.3%. Turning to our regions. We have delivered an initial yet significant improvement within our North American business, reflecting a much sharper operational and commercial focus together with identified synergy benefits. We're only getting started here and with significant scope for continued delivery. Our European business continues to perform in a challenging market. However, we are comfortable that we are close to a low. Our Latin American operations delivered an outstanding margin performance in a region which continues to present opportunities for growth. We see opportunity across each region, whether it's in terms of operating efficiency, a sharper commercial focus or capitalizing on growth areas. We continue to optimize our system, which we expect to drive improved margin performance for Smurfit Westrock with our recently announced restructuring. Finally, and of note within the quarter, Fitch upgraded our long-term debt to BBB+ with a stable outlook, reflecting their confidence in the quality of our business and our longer-term prospects. As it is now 1 year from the conclusion of the combination between Smurfit Kappa Group and Westrock, I want to take a step back to look forward. Let me outline our key achievements and what we have found within that time frame. First, we have very successfully and seamlessly integrated 2 major businesses, combining the best elements of each organization with a strong performance-led culture. Secondly, we have identified and are delivering on at least $400 million of synergies. And as we said before, we see a much greater opportunity to deliver at least equivalent value through a much sharper commercial and operating focus. For growth and increased operating efficiency, we continue to invest in a disciplined way across our regions. We are continuing and will continue to optimize our system through the elimination of nonstrategic or inefficient assets. As you know, we recently announced the permanent closure of 600,000 tons of capacity. The steps we are taking and continue to take are delivering a measurable improvement to the business performance within a relatively short time frame. We have built strong foundations with a generally well-invested asset base, excellent market positions and above all the excellence of our people. You have often heard us talking about our distinct operating model that has driven our outperformance. Fundamentally, it revolves around people and the culture which exists now within the new Smurfit Westrock. Culture and values are fundamental to us, and we demand the highest ethical standards. First, we devolved profit responsibility down to the individual businesses, ensuring that each manager runs their business as a fully accountable owner with responsibility for all aspects of their business with an emphasis on customer service and profitability. In order for our managers to be successful, there are a number of prerequisites such as having a complete focus on their people within their organizations, safety at work and a relentless focus on delivering value, innovation and quality for our customers. In order to do that, we in corporate effectively give those managers the tools to do the job, ensuring clear strategic direction and support. Naturally, we tightly and centrally control capital and ensure structures are simplified, and there is an unrelenting focus on cost takeout while at the same time eliminating unnecessary structures. Our identified synergy program is delivering at or better than planned. Importantly, though, we see very significant margin enhancement opportunities through our methodology and way of working. We've already seen the benefit. And to demonstrate this point, we've already cut our loss-making and corrugated in by approximately 40% in our U.S. operations. We've always strongly believed that, as a general principle, our assets must be world class. Within our business, in our previous incarnation of Smurfit Kappa, we continued over 2 strategic plan periods to develop world-class systems, world-class assets and businesses which have a long investable future. In the new Smurfit Westrock, as always, we will be doing the same in a disciplined and measured way. We have started that journey now in the new Smurfit Westrock with $1 billion already invested in our system, roughly equally split between paper and converting assets. We have also initiated what we call our quick win programs with an amount of almost $200 million already committed for the next 18 months to rapidly take out costs with the minimum returns exceeding 20% plus. Frankly speaking, we've been doing this for decades and seeing the opportunity in the new Smurfit Westrock is truly exciting. But of course, equipment without people is useless because anybody can buy new equipment. And if you don't have the people with superior knowledge in their marketplace, then you will just be another average company. In the first 6 months, we have demonstrated with some 39 unique awards given to us that Smurfit Westrock has some of the most powerful, innovative tools and applications that will bring our customers' packaging to another level and help them win in their own marketplaces. With over 2,000 designers worldwide, we are in the early innings of bringing all that knowledge together for the benefit of our customers, so they can reduce their own costs and drive increased revenue, giving them unique designs at the same time sharing value. The sustainability journey, which a large portion of our customer base is committed to is another area of expertise. We are becoming the innovative and sustainable packaging partner of choice for our customers which has continually demonstrated day in and day out across our regions. And with that, I'll hand you over to Ken, who will take you through our financials.
Ken Bowles: Thank you, Tony. Good morning, and good afternoon, everyone. And as always, thank you for taking the time to join us. As you can see here on Slide 9, the business delivered another strong performance in the second quarter, with net sales of over $7.9 billion, adjusted EBITDA margin had a guidance at $1.213 billion and adjusted EBITDA margin for the group of over 15% and a strong adjusted free cash flow of $387 million. This is a marked improvement compared to the combined performance of the business for the same period last year, showing mid-single-digit growth in adjusted EBITDA and a further improvement in the group margin. The performance reflects strength and resilience provided by our diversified geographic footprint and product portfolio, particularly in the challenging macroeconomic environment and the commitment and dedication of our people to delivering for our customers. The ongoing improvement is also a clear reflection of our plan to embed our unique performance at culture right across the Smurfit Westrock organization. A culture that empowers managers, places the customer at the center of decision-making, underpinned by a relentless focus on cost and operating excellence. Turning now to the reported performance of our 3 segments and starting with North America, where our operations delivered net sales of $4.8 billion with adjusted EBITDA of $752 million and an adjusted EBITDA margin of 15.8%, an excellent outcome. Compared to the combined results in the second quarter of last year, we saw a significant margin improvement predominantly due to higher selling prices, early evidence of the operating model in action and the benefits of our synergy program alongside some input cost relief from recovered fiber, which more than offset lower volumes and cost headwinds on energy, labor and higher mill downtime. Corrugated box pricing was higher compared to the prior year, while box volumes were down 4.5% on a same-day basis, an outcome very much in line with our ongoing value over volume strategy. Third-party paper sales were 2% lower, while consumer packaging shipments, again, on a same-day basis were down 2.7%, with volumes in Mexico being lower than in our U.S. business. One year on from the combination, we are particularly pleased with the performance of our North American team with much of the heavy lifting now complete in terms of establishing our performance at culture based on empowerment and plant level responsibility. Looking now at our EMEA and APAC segment, where we delivered net sales of $2.8 billion, adjusted EBITDA of $372 million and an adjusted EBITDA margin of 13.4%. Despite a more challenging market backdrop in the region, our operations remained resilient with combined adjusted EBITDA modestly below the prior year. This performance reflects the scale of our local teams in managing a highly volatile cost environment and underscores the effectiveness of our operating model, which continues to deliver the most innovative and sustainable packaging solutions and industry-leading returns. Higher corrugated box prices year-on-year were more than offset by headwinds on energy, recovered fiber and labor, while corrugated box volumes remained flat on a same-day basis. To consolidate our leadership position in the region, we have made significant investments in new converting machines, upgrades to corrugators and significant investments in our bag and box business, resulting in a business that is primed to take advantage of the return of an improved demand environment. LatAm segment again remained very strong in the quarter with net sales of $0.5 billion, adjusted EBITDA of $123 million and an adjusted EBITDA margin of over 23%. Corrugated box volumes were down 1.9% on a same-day basis, with the demand picture in Argentina showing nascent yet marked improvement and strong demand growth in Colombia and Chile among others, all while our value-over-volume strategy continues to play out in Brazil as we continue to phase out unprofitable legacy contracts. The region successfully implemented pricing initiatives that almost entirely offset a negative currency translation impact and lower box volumes to deliver this strong result. We believe that Latin America continues to be a region of high-growth retention for Smurfit Westrock and one where we are well positioned to drive long-term success. And just a reminder of our proven capital allocation framework, a framework that is flexible and returns focused at its core. In Smurfit Westrock, we see internally allocated capital backed by a management team with deep industry experience as key to the future success of the business. After conducting the near-term assessment of the capital leases business, our CapEx range of $2.2 billion to $2.4 billion for the year includes high-return quick win projects already underway, while we continue to build out broader strategic plans for the business. The dividend is also a cornerstone of the framework, delivering on our expectation of paying a dividend stream in line with legacy SKG's progressive policy, subject to the necessary board approvals and demonstrates our confidence in the cash-generatibility of the business. You will note that today, we have declared a quarterly dividend of $0.4308 per share. The balance sheet at Smurfit Westrock has significant strength and flexibility. We are committed to maintaining a strong investment- grade credit rating, and I am particularly pleased with the upgrade to our long-term issue rating from Fitch earlier this month to BBB + with stable outlook. Given the scale of our operations and indeed our ability to generate significant free cash flow, we are targeting a long-term leverage ratio of below 2x through the cycle. We will also maintain a disciplined approach to M&A, benchmarking any growth opportunities in this area against all other capital allocation alternatives. And the inclusion of other shareholder returns reflect our strong confidence in the future prospects of the business and signals our commitment to continue exploring avenues to create and deliver value for our shareholders and benchmark those opportunities against available options. Ultimately, this framework is all about creating long-term value for all shareholders. Turning now to Slide 12, and I'm pleased to confirm that our synergy program is delivering as planned. We are on track to deliver $400 million of full-year full run rate synergies exiting 2025. And moreover, we have identified a minimum $400 million of additional opportunities following from a sharper operating and commercial focus. The drivers of that medium-term target involve our long- standing value-over-volume philosophy, the consolidation of production and more efficient machines, the ongoing benefits of our decentralized operating model and through the rollout of our unique innovation offering. Furthermore, as we noted in the release, we expect to deliver third quarter adjusted EBITDA of approximately $1.3 billion and our full year adjusted EBITDA guidance remains between $5 billion and $5.2 billion. And with that, I'll pass it back to Tony for some concluding remarks.
Anthony Paul J. Smurfit: Thank you, Ken. Well, as I said at the outset, we are happy that we've come a long way in a short space of time, but clearly, there is much to play for. Our North American business has seen significant improvements in its first year of the combination. Our European business continues to be resilient with a decent margin performance despite a challenging environment. As the region recovers, we will be a major beneficiary. Our Latin American business continues to be an area of significant opportunity where we see significant growth in many of the countries in which we operate. Smurfit Westrock is about building on the strong foundation we have laid to be the go-to innovative and sustainable packaging partner of choice for our customers with an emphasis on value, quality and service. Smurfit Westrock, which operates in 40 countries is truly at the beginning of this journey. We believe that we have the best people in the business. We believe we have the best knowledge in our business, and we have strong market positions in practically all countries in which we operate. All senior management in the company are fully aligned with shareholders with a proven track record of delivery. As we have set out in this morning's release, our confidence and conviction on our performance and prospects in part reflects the measurable progress that we've already done within this very short time frame. I thank you for your attention. And now I will hand it back to our operator for some questions and answers.
Operator: [Operator Instructions] We will take our first question and the question comes from the line of Mike Roxland from Truist Securities.
Anthony Paul J. Smurfit: Mark, we can't hear you -- Mike, sorry, we can't hear you. here.
Michael Andrew Roxland: I'm here. Can you hear me now? Sorry about that.
Anthony Paul J. Smurfit: Yes.
Michael Andrew Roxland: Okay. Apologies. Congrats on all the progress. First question I had was, Tony, you mentioned you cut the loss making, I believe, I heard you say in North America corrugated by 40%. What metric or metrics are you referring to exactly? Just can you provide some more details around that?
Anthony Paul J. Smurfit: Yes, sure, Mike. Basically, when we came in, we obviously put the profitability back to plant level. And we could see that a lot of plants -- and actually, the numbers are pretty well the same. About 40% of our plants have moved into profit from being in loss and about 40% improvement in the overall number. So we've basically gone through every account very systematically, and there have been some accounts that have been heavily on the water, and we have -- part of the reason for our volume performance is that we have lost some business that was very uneconomic for us to run. And so that's been a systematic process. I mean we can't get out of all contracts that we're in that are not necessarily good ones. And so we're going through that process continually in the company. And so the good news is that when you open up valuable machine space, and you give a sales team the chance to go and fill that valuable machine space, if you're losing a lot of money on an account, just getting breakeven accounts business is not so hard, so you improve your business substantially. It does take a little bit of a lag period. So if you lose let's say, a machine of a customer, it will probably take you 6 months to refill that machine with better customers. So that's why you get the sort of lag period of getting your volume back. But overall, just by the actions that we've taken of removing poor volume and replacing some of that already, we're seeing the benefits, and we'll continue to see the benefits. There will be some factories, Mike, that will be unfavorable for different reasons, but the vast majority of them are favorable and will improve continually. And I would say to you that all that we've said about operational improvement is really continuing to do what normal corrugated factories do, which is sell at a reasonable rate of return, giving value and service and quality to the customer and ensuring that the plant is able to continue to pull the paper through the system rather than push the paper through the system. And that's what's happened and it is happening.
Michael Andrew Roxland: Got it. I appreciate the color there, Tony. And then just 1 quick follow-up. How much of the business in North America remains in a loss position? And then quickly just on Europe, you mentioned you feel you're close to a low in Europe. But that said, it looks like pricing continues to weaken, which could potentially threaten to the back half of this year into '26. So I would love to get your sense as to why you feel you're close to a low right now in Europe as well.
Anthony Paul J. Smurfit: Okay. Well, we still have a number of facilities in loss-making. There'll be -- going back to the first question. We still have a lot still to do. There are, as I said, there are companies that -- where we have contracts that we have to continue to honor with our customers that are significantly underwater that as those contracts come up, we will either get the prices up or we will lose the business and replace it with better business. So we have still, as I say, about 60% of the loss makers -- corrugated loss makers to move into profit. So that's a big opportunity and chance for us. I don't say all of them will get there, but I would say that at least another 40% will get there over the coming year or so. So -- and the ones that have come from loss-making to marginal profitability, we should start to see them improve as well. And then hopefully, we'll see our decent plans continue to improve over time as well. So without being too optimistic, I see a lot of opportunity in our corrugated space to improve our business. With regard to Europe, I think there was an announcement today, Mike, about a paper mill closing down. What we're seeing in Europe is that at the current levels, if you're a third or fourth player paper mill in Europe, and you have no integration, you are in not in good shape right now. And that's -- you saw the 1 closure today. That's just an indication of how difficult it is for independent paper makers right now in Europe with the current level of pricing. And so I think that our business model has proven out. We've got very good assets, which we've invested in over the years. We've got very good integration, which we continue to invest in. And we will -- in fact, our pricing should move up in corrugated in the second half or slightly move ahead as we integrate -- as we push forward our contracts that will come up for renewed during the second half of the year. So I think at the current level of paper, it's not sustainable for the vast majority of players and that's why you're seeing some closure, and I suspect you're going to see some more.
Operator: Your next question comes from the line of Lewis Roxburgh from Goodbody.
Lewis Ian Roxburgh: The first is just on tariffs and consumer confidence. So I guess Q2 would have captured some of that initial tariff impact. And obviously, the delivery was encouraging in that context. But as we move into Q3 with a little bit more visibility, uncertainty in policy? Are you seeing any signs of improvement in consumer confidence or demand across your key markets? And the second question is just, I guess, a follow-up on European capacity rationalization. I know you mentioned weakness in nonintegrated players. You've already announced some closures in Germany, but just given the scale of the U.S. reduction and the fact that sort of European market stands relatively oversupplied, do you think there's scope for further capacity closures on your side?
Anthony Paul J. Smurfit: Yes. I mean we continue to look at, Lewis, our portfolio, and so at this moment, we closed the mill last year in Europe and France. We don't, in the short term, because all of our mills continue to be profitable because they're integrated. And so we're in reasonably good shape. And as I say, we're mainly first and second tier mills in our system because we've been investing in them for the last decade. If you remember, if you go back a long time, we used to have 23 mills doing 3 million tonnes. Now we have about 15 mills doing 5 million tonnes. So our footprint has become ever more efficient over the last 15 years or so. So we're ourselves in good shape because we have people to sell to, which is ourselves, and that's the integrated model that we continue to talk about. So do I -- I suspect there are many, many mills that are in desperate trouble right now, and that was indicated by just 1 closure today. And I suspect that as we go forward into the third and fourth quarter, if things persist, that those will continue to happen. The first part of your question, Ken, do you want to take the tariff?
Ken Bowles: And just to clarify, Lewis, that the closures we announced in Germany last quarter are corrugated box plants, not paper mills. So generally, that we were consolidating that volume across the existing footprint in Germany. So the volume remains just over a lower fixed cost overhead was better for the system, so natural benefit. In terms of the tariffs, important to remember that the 10% was already in for a lot of the paper imports into North America anyway across the piece. So the incremental 5% doesn't present that much of an upward correction given what the number could have been as of the first of August. I think historically, the consumer tends to take on about 70% of all the tariff increase. So I think we've seen some of that come through. But I think our position based on where we sit today is I don't think we will naturally see any change in flows of imports or exports of papers in or out in North America based on the tariffs that they currently sit today. While the -- yes, the margins might erode it for the imports into North America for the European producers, it still probably presents a slightly better market than other markets for them. So I wouldn't necessarily expect any shift to change there. Clearly, given our footprint in North America around paperboard probably does present an opportunity around the cost of the domestic product versus on the imported product is much more attractive. I think you would hear that yesterday from 1 of our peers, too. So you won't be surprised by that. We've always kind of said that the real impact in the system of what happened to consumer demand. I think you can see the volumes in the second quarter, particularly in North America, market down 2.5%. We were slightly more than that. But again, that was targeted around exactly what Tony spoke about there, limiting loss makers and unprofitable volume. I think in Europe, given where Germany sits as far as that economy, the settling of the tariffs should in theory, given the size of the German economy in the context of Europe, give some impetus if Germany wants that in terms of pushing Europe forward. But we are flat volumes in the second quarter in Europe. But as we look out, nothing yet to suggest that, that demand picture will change very quickly. And we're starting up baking that into any of our forecasts. So it remains sort of a relatively -- volume is okay. Demand is okay, but could be a whole lot better. And I think as the tariff picture settles in, I think we'll see where consumer confidence might come back in certain areas that's been lacking, I think, in the last year or so.
Anthony Paul J. Smurfit: Yes. The only thing I would say is that we're waiting for the seasonal demand pickup in the United States to happen. We didn't see it move forward in July and hopefully, we'll start seeing that come forward in August and September based upon the settling of the tariff situation, if that happens because there's still a lot of unanswered questions with regard to Canada, Mexico and a lot of Latin American countries. So we'll wait and see over the next few days and including China. So we'll wait and see over the next few days what transpires in those areas.
Operator: The question comes from the line of Phil Ng from Jefferies.
Philip H. Ng: Tony, you gave some great color with Roxland earlier. So on the loss-making contracts in North America, can you kind of give us a little more flavor in terms of how that winds down? Is that a 2-year cycle waterfall? And when you think about your team, are you in a good spot to value sell, right? It's about offering the service through reliability and the buy-in from your sales force? Just give us a little sense on where they sit on that front? And then just the environment as well because we've seen obviously a lot of capacity come out. So you've been in North America for some time. How do you think about this up here from an industry structure standpoint as well?
Anthony Paul J. Smurfit: Okay. A lot of questions there. Are we in a good spot with regard to innovation? Yes. But as I said in my commentary, we're in the early innings. So for example, Phil, we have just recently hired a new innovation person, when I say recently, 4 or 5 months ago now, to be our corrugated innovation person from a major brewery company. And he's been learning our business and is doing very well. I'm very happy with him. We're all happy with him. And we have a global innovation conference with our innovators in September, whereby we're going to pool the knowledge that we have across our companies. And I have to say that there's some really good innovation in the legacy Westrock business, too, that we need to make sure that we got all the information corraled and then we have to bring it into the organization in a controlled way that -- so from the point of view of where we're at, in Europe, obviously, we're in very good shape. In North America, we've got some very good spots of it, but we've got to corral it a bit more. And in Latin America, we're in good shape. So I think what we'll do, you'll see a big, big move over the next year in our whole innovative selling as we roll this out across our global basis, but specifically in North America. We're set up -- a lot of capacity has come out of the market. That's for sure. Demand, if there's any pickup in demand, that will obviously be very good for the situation. We don't envisage taking much downtime, if any, in the second half of the year other than the normal maintenance type downtime and the odd problem that we're going to have inevitably in some of our mills. But -- so we don't envisage taking downtime. We would like to see demand a little bit stronger, Philip, to be honest. And it's -- we know that we're going to replace that bad volume with better volume and every plant I go to, you can see the enthusiasm of the sales teams. And when we start to roll out this innovation even in a greater way, then it's going to be much stronger for our team. So we -- with the normal lag of replacing it, I think we're going to be in good shape, but we would like to see the general market be better. We're hearing about a lot of customers themselves taking downtime for a week or 2 weeks, which is obviously not what we want to hear. We want to hear about an economy that's moving forward. So that's the only, I suppose, issue that I would have right now. With regard to the first question, which was?
Ken Bowles: The wind down of unprofitable contracts.
Anthony Paul J. Smurfit: The wind down, I would say by this time next year, with the exception of very few, we would suggest that they will all be gone this time next year.
Philip H. Ng: Okay. That's great color. Really appreciate it and exciting opportunity in front of you. Europe, I'm just generally less familiar with. The margins were a little lighter than expected. Can you provide some color on some the headwinds in the quarter and how you kind of see that progressing in the back half of the year, especially with some of the movement you've seen on OCC and gas prices?
Anthony Paul J. Smurfit: Yes. I mean I'll let Ken take that. But I mean, we're in better shape on costs in the second half than we were in the first half as a general view. But Ken?
Ken Bowles: Yes. Phil, January, Europe in the second quarter we did do a good bit on price as deposit in that quarter, a 3% on boxes, but that was offset by a little bit of volume lower than we would have thought. Energy higher than we thought, but that's come down a piece since. Recovered fiber, I think, was a big headwind of about $28 million in the quarter itself versus last year. And labor, actually about $17 million. There are the 2 big ones. So predominantly box pricing offset by, call it, some energy, recovered fiber, a little bit of labor, getting square the air. But as you kind of move forward through the year, I think you see the backdrop around recovered fiber, a little bit of labor and certainly energy get a lot better than we would have thought at the start of the year.
Operator: And The question comes from the line of Gabe Hajde from Wells Fargo.
Gabrial Shane Hajde: Tony, if you can on the second half, maybe put a little bit more of a finer point on some of the underlying assumptions sort of in the 1.3 and I guess sort of at the midpoint, around 1.3 for the fourth quarter in terms of volume expectations across the 3 regions. And just more specifically in North America, we're reading some reports about some retail business moving around and I was curious if you were expecting kind of that down 4.5-ish percent rate to accelerate in the back half or get better? I know you just kind of told us by June of next year or second quarter things should be getting close to normalized. But any color there would be helpful.
Anthony Paul J. Smurfit: I'll do the volume piece and then hand over the assumptions to Ken. Basically, I would suspect that we should start to see normal seasonal pickup in volumes. That's what we're obviously believing. That's what typically happens. At this time, we have no reason to believe it won't happen. The -- but we're not assuming that we -- even if I think that we've won a lot of business in new places, that will probably impact us next year. The -- I think that the second half, we're assuming basically flat volumes to where we are now. We don't expect deterioration, but neither do we expect things to be materially better. So that's sort of our assumption on volumes. So Ken, do you want to take any other assumptions?
Ken Bowles: Gabe, taking the third quarter specifically, I think we can make it really easy for you. The third quarter going 1.2 to 1.3, it's just really 2 things. It's lower downtime, which is about a $50 million impact in the quarter positively. And the rest is really around recovered fiber predominantly for the other $50 million. So it's really relief on cost inflation. There's no real assumptions there, as Tony said, it's flat volume, not necessarily baking anything in price for the third quarter. So really, the third quarter, 1.2 to 1.3 is cost relief predominantly recovered fiber and then lower maintenance downtime in the third quarter over the second quarter. For the full year, we kind of end up at the same place as we guided all year. I suppose the moving parts are being, as Tony just said there, moving to flat volumes for the back half, albeit lower for the first 6 months. So lower on volume but doing a bit better on price across the year than we would have initially thought and certainly a lot better in energy. So energy, where we might have guided about $350 million headwind year-on-year is now about $250 million. Other raw materials probably doing little bit better at $50 million. Things like recovered fiber itself, where we might have guided a headwind of about $154 million, $155 million at the start of the year. Probably see that more down the $105 million, $110 million space, about $40 million, $50 million saving there. And across even labor is a little bit better as we get into the second half. So there's some big chunky moving parts and I know Ciaran and Frank can take you through in a bit more detail. But broadly, I think if you were characterized in the second half from where we are now, doing a bit better in energy, doing a bit better on labor, a bit better on recovered fiber, a bit better on price, volumes remained flat, and you kind of dealt on all that as you end up back at the same place.
Gabrial Shane Hajde: All right. And one last one. I guess, Tony, you alluded to not being a million miles away, kind of giving us an update on the Consumer Packaging business. I think you talked about volumes being down Ken, 2.7%, if I heard you correctly, in Americas and that includes Mexico down a little bit more. Just curious, kind of, again, another quarter under the belt and thinking about sort of the opportunity set there to be on both sides of the house in terms of consumer and corrugated. Any updates there?
Anthony Paul J. Smurfit: Yes. It still feels like it's a very good business to be involved in. I think we've got some very strong market positions. The cross- selling opportunities are in Europe, where we're a bit more advanced on that is very strong. We're -- because we're much bigger and corrugated than we are in consumer, we're introducing our consumer folks who are really very let's say, either in health and beauty, which is more of a niche. But on the general markets, they didn't really have a lot of selling tools, which we're now obviously opening up for them. So that's a big opportunity in Europe for our consumer businesses. And if you take the United States, I think, generally speaking, we've got some very good businesses with great people. And we've got to think about structurally a couple of issues like SBS, our long position in SBS, but we have ideas that we'll come forward with probably towards the back end of this year or early part of next year as to what we're doing on that.
Ken Bowles: And Gabe, just to help you that the consumer volumes, yes, 2.7% down for the quarter, including Mexico. If you exclude Mexico, it's probably more like 2% down.
Operator: We will take our next question, and the question comes from the line of Charlie Muir-Sands from BNP Paribas Exane.
Charlie Muir-Sands: Just a couple of follow-ups on the topics that have already been covered. Just firstly, on the loss-making box contracts. Obviously, you said you're sort of 40% through. Is there any possibility of putting any kind of dollar numbers around the level of losses you think that on a fully costed basis, that, that business was dragging profits historically? And then secondly, you're talking about some of the assumptions into the second half and talked about flat volumes. I just wanted to clarify. Are you talking half-on-half or year-on-year? The reason I somewhat ask is that the last 2 years on a pro forma basis, there's been a bit of a historic dip in profits, particularly in North America business in Q4. I don't know whether there's sort of a reshuffle of the phasing of maintenance, which means that, that won't recur this year, but I'm just trying to get some understanding so we don't get caught out because obviously, the implied fourth quarter guide range is now quite wide.
Anthony Paul J. Smurfit: I'll let Ken take the second question, Ken?
Ken Bowles: I suppose the reason the range is there, Charlie, to take account of that fact. I suppose, look, if we think about where we sit the 2 assumption -- the 2 big calls in the second half are -- 1 big call really is where does demand go. Currently, the first 2 quarters are probably underwhelmed in terms of where it ended up and the second half, we're not really baking in much in terms of assumptions of an upward tick other than as Tony talked about seasonality and everything else. So I think with the range we put in place, there's a lot to play for there both on the upside, but slightly moderating to downside, but we're not talking about a big number either side of this either way. So -- and as you know, given our history, volume is not really the real predictor of where we'll end up. It's what we do on price. And certainly, in that sense, we're doing a bit better on price than we might have thought as we come into the 6 months.
Anthony Paul J. Smurfit: Charlie, on the box plants, let me just try and articulate it. I mean, they have over 100 box plants. So obviously, some are profitable. But if you take a box plant system that was losing relatively significant money. I don't want to break it out last year. And if you take a box plant system that's, call it, $1 billion in sales or so, you know you should be -- sorry, you should be making about -- somewhere between 8% and 12% margin in your box plant system. So on the 10 bps, I should say the billion -- on the $10 billion sales system, you should be making somewhere between $800 million and $1.2 billion on the box plant system, and it was loss making last year. So obviously, we're not there yet, but that will be our goal over the next 5 years to get there.
Ken Bowles: And sorry, Charlie...
Anthony Paul J. Smurfit: And that's a material improvement and obviously, a long way ahead of where -- when we talk about synergies, it's a lot more than the synergies we can get if we get to that point.
Ken Bowles: Sorry, Charlie, I skipped your fundamental question I gave you the long answer. It's flat volumes half 2 versus half 1.
Operator: The next question comes from the line of Detlef Winckelmann from JPMorgan.
Detlef Winckelmann: I've got 2. So the very first one comes back to your EBITDA bridge into Q3. I understood from the earlier question that it's $50 million maintenance, $40 million to $50 million in lower OCC or recovered fiber costs. I'm a bit surprised that there's no price in there. I mean my understanding was that the linerboard price increases we saw in the U.S. as well as in Europe wouldn't have been fully implemented by Q2. Can you just touch on that? And then I'll come back to my second.
Ken Bowles: Yes. But I suppose that's to be played out during the quarter. Like in the reality, the big building blocks of 1.2 and 1.3 are the $50 million for downtime and the $50 million for other cost books. You also have to remember that within that, we're not baking in any assumptions where volume might go in the third quarter either. So there's a bit of moderation there in terms of conservatism around price and volume. So as we sit here today, 1.3 there thereabouts seems right in our heads in to where we'll end up.
Detlef Winckelmann: Okay. Perfect. And then a very technical 1 or maybe a stupid question. But I mean, when I look at your synergies here, you've given us, I think it was Q1 synergies of $80 million. Q2 implied is about $100 million. And then the full year, we've got about $350 million. So that implies that we're going to go backwards at some point in Q3, Q4? Does that make sense? Or am I just misreading that?
Ken Bowles: I don't think it's going backwards. It's about how you achieve them and when you achieve them. Look, they all come in at different times depending on if it's in purchasing when you get those purchasing contracts through if it's around whatever it might be consolidation of volume on more efficient machines, they all just happen at different paces. I think with synergies, you're not necessarily looking for a constant run rate in terms of the quarter itself, but the ultimate run rate in terms of where the synergies go. So the achievement in the quarter is something, but ultimately, I don't think we think of it as going backwards. I think we think about hitting the synergy number and exiting '25 with that full $400 million in our pockets.
Operator: The next question comes from the line of Lars Kjellberg from Stifel.
Lars F. Kjellberg: Tony, you just alluded to a number of $800 million to $1 billion in the box system and of course, you have spoken to the operational and commercial improvement opportunities of at least $400 million, i.e., equal to the synergies. 2 questions on that. I mean you highlighted that potentially a much larger number the second real question is, where are we on this now? Are we starting to see any of that equal to at least the synergies coming through in the current year? Or is that starting to come through in '26 and build over the years to come?
Anthony Paul J. Smurfit: No, we're definitely starting to see some of that, Lars. I mean, we have continued to see improvement in our box system, as I mentioned. So that -- some of that improvement is already in our numbers. And we have a long way to go in our box system, but there's already an improvement in the first half in our corrugated system versus last year in a considerable way. I'm very happy with how that system is moving and how the team are responding if you look at the performance of the company, and you can see that our margins have grown in the United States, it's basically synergies and improvement in our corrugated box system. And then you look at you look at where our company has had difficulty has been in Europe, where we have had 18%, 19% margins in the past, and we're down in the mid- to low-teens at the moment. That's a reflection in the market, which, as I said, I think, is at the bottom or close to the bottom and will improve. The question is when will the demand environment improve to really pull that thing forward. And that's -- is it 2026 or the second half, first half 2027, we don't know. But Europe itself is not too bad with the exception of 1 or 2 markets. And unfortunately, one of those markets is Germany, which is the biggest, and that pulls Europe down.
Lars F. Kjellberg: And just coming back to what you just said about some of that is in your numbers. You spoke to value or volume is making progress. But at the same time, you said you -- it will take a bit of time to fill those machines. So basically, what you have in your numbers now cutting the losses and the real benefit where it really started to move into the revenue line and EBITDA, that's still to come. Just a clarity on that. And then Ken...
Anthony Paul J. Smurfit: No, go ahead. Go ahead. No, I'm going to say you're right. Just agreeing with you.
Lars F. Kjellberg: Good. Very good. The rating upgrade, does that mean anything to you from a financing point of view?
Ken Bowles: Not really, Lars. To be honest with you, from an economic point of view, it's very little. It did give us a small decrease in our revolver and some of our commercial paper programs. But actually, when you look at our bonds and how they price, we probably price already at BBB+ to be honest with you. So we presented the BBB+ credit, which we would have done out of the box with all the agencies from an economics perspective. So small savings but not material in the round.
Operator: The next question comes from the line of Mark Weintraub from Seaport Research Partners.
Mark Adam Weintraub: Thanks for the very comprehensive review. So far, I mean, 1 thing I haven't heard is currency very much. And we've obviously had a very big move in the euro relative to the dollar over the course of this year. Can you explain to us a little bit how that's impacted results and sort of sensitivities in the way we should be thinking about it as we model forward?
Ken Bowles: Mark, actually, the reason you haven't heard it, it didn't actually have much of an impact, to be honest with you. Any of the moves in the dollar in Europe, for example, were compensator offset by moves in Latin America. So I think net-net, if memory serves me, I think the -- it was about $8 million in total was the currency impact on EBITDA year-on-year, I think. So that was it to the square root of really nothing. In terms of sensitivities, broadly, every $0.01 move in the dollar would be plus or minus $12 million. It's as simple as that, in Europe. If you take a euro number move by $0.01 you get an impact of about $12 million broadly. And on the debt side, that's about $30 million.
Mark Adam Weintraub: Okay. And that captures the translation of...
Ken Bowles: Yes, broadly. As you can imagine, it's a rough crude calculation based on what we see and what we know over time. But broadly, what we see is if you take your euro earnings on a translation basis, every $0.01 will be plus or minus $12 million.
Mark Adam Weintraub: Okay. Super. And then just last sort of big picture, as I was hearing it, a number of things have played out a bit favorably relative to initial expectations which is great and you kind of -- you listed a bunch of them. And you sort of kept guidance to where it was. Is that primarily that your -- the volume situation, the uncertainty on the volume situation? What has sort of held you back from this leading to perhaps a little bit more optimism on the outcome for the year?
Anthony Paul J. Smurfit: I think it's -- I mean, you read the same newspapers that we all read, and there's -- obviously, there's a lot of uncertainty out there, whether it's tariffs or whether it's the general economy or the consumer confidence. So I think that each individual economy has its own different challenges. But when you -- we don't see -- we haven't seen volume picking up yet in the United States and clearly, if volume picked up in the United States that will give us more confidence, but we haven't seen that yet. And until we see that, then we're going to hold our fire because it's -- there are a couple of markets that are pretty important to us. Germany is one. And we don't see any major improvements in that market at this juncture. And the United States, as I say, we're going through this transition period where we are looking for newer volumes and phasing out some volumes where we're not able to make any money on it. So that's outside the whole economic environment, which is, I say, we all read the same newspapers there or maybe we don't read them. We look at them online anymore. But I think -- so we're just -- if you see volumes pick up, then clearly, things will be much better.
Mark Adam Weintraub: Fair enough. And maybe this is related to all of this and maybe I remember wrong, but I thought we had like $100 million negative from maintenance in the second quarter. And you're talking about getting $50 million back, but running pretty full. So I'm just trying to understand that dynamic.
Ken Bowles: Yes. But remember, also, we begin to see the impact of the closure of Forney in that quarter too. So the need to take less downtime comes into view too. Clearly, market, it's an estimate as we start the quarter. If the demand picture deteriorates to any significant impact, it doesn't change much. We can flex that. It's not. It's just currently where we sit the demand picture, the order book, everything else would suggest that the less downtime in the third quarter over the second quarter. And some of that is the impact of the closure of Forney helping that.
Operator: The next question comes from the line of Anthony Pettinari from Citi.
Anthony James Pettinari: With some of the actions that you've taken in North America, can you remind us what your integration rate is in corrugated and consumer? And then broadly, as you kind of execute the operational improvement in your box system, I'm wondering how you kind of compare the carton converting system in terms of sort of opportunity, quality and where you are versus where you want to be?
Anthony Paul J. Smurfit: Okay. I'll take the second one. I mean we are -- I have to say that I've been very impressed with the carton -- most of the carton plants, which I've seen and the operations that we have. We obviously have some strong -- very strong market positions with very big customers. And as you will have seen, a lot of our larger customers have some volume issues themselves in the consumer business. Their profitability is effectively being held up by price. And that's great, but it's not great for volumes. And so we would expect that situation to change as we see more promotional activity going forward into the second half and next year as these bigger customers look for market share gains or market share back. But I -- with the 1 or 2 exceptions, I think in fairness to legacy Westrock, they did a very good job in the cartonboard system in rationalizing their cartonboard operations over a number of years. And I think -- I'm guessing from memory, is about 15 closures that they've made in -- near 20 closures they've made, including Europe over the last number of years in the cartonboard system. So they have a very good system. And I think that it's a very -- it potentially is a very good business for us to continue to invest in and grow and that's what we've been doing. Very good systems business, very good business in health and beauty, a very good business in consumer, but obviously somewhat impacted by demand. And then when you look around the globe at our business, whether it's in Europe, Mexico, or indeed in Asia. And I think we've got strong market positions with strong businesses that are investable in. So that's where we sit on the consumer business.
Ken Bowles: Okay. Anthony, in terms of integration levels on the containerboard target side, about 90% now after the closure of Forney. And on the consumer side -- on the consumer side, it's about 60% if we take all grades in.
Anthony Paul J. Smurfit: On corrugated and papers.
Anthony James Pettinari: Great. Great. That's very helpful. And then just one really quick follow-up. You mentioned Mexico and I think volumes underperforming consumer there. Can you just -- I assume that's tariff-related uncertainty. But can you just tell us what your customers are telling you in Mexico and what that volume number was?
Anthony Paul J. Smurfit: The Mexican business actually is like the Brazilian business has been relatively -- 1 or 2 very large customers have either underperformed due to tariffs or due to changes in habits. And then we've also taken a very strong view on some legacy business of Westrock that has been really, really, really poor business that we have exited. So that's why it's a little bit of our own making in the sense that we've chosen to move -- I give you a good example, one of our factories on the border was supplying a large customer, and we couldn't make any money on it. And it was a plant that was losing $0.5 million a month. And as soon as we exited that customer, it was making $0.5 million a month. So it was a big customer, so it was taking up a lot of machine time. And that's the kind of action that we continue to look to take, and that's why the Mexican volumes are so poor. And not like anything we've seen before, we'll get back to growth in Mexico. We've got a fabulous business there, fabulous market position and generally speaking, great people that are really enthusiastic with a strong share in the business. So I think I'm -- absent the tariff issue, I would be incredibly optimistic about our business in Mexico to continue to grow.
Operator: We will take our final question and the final question comes from the line of Reinhardt van der Walt from Bank of America.
Reinhardt van der Walt: Without laboring the point too much on the loss-making contracts, I just wanted to check, the ones that you've cut, are we referring here to EBITDA loss-making contracts? Or are you also looking at this from an EBIT length? I guess what I'm looking for here is, do you have the visibility from an ERP point of view at the moment to be able to push ROIC optimization?
Anthony Paul J. Smurfit: I'll certainly give the second part of that question to Ken. But on the first part, yes, they were EBITDA loss making. I mean, there's no way that you would run the businesses that we have walked away from. There is no way that you would -- as an independent owner of your business, which is what I go back to that we are asking our management to be independent owner operators responsible for their own P&L responsibilities. And if you have that business as your -- if it was your own plant, you would not be running it because you're using a valuable machine time to lose money, and that's not a very sensible way to run a business. So we have exited that kind of business, and we will replace it with -- it doesn't even have to be a good business. It has to be average business or even poor business and it's better than what we had. Ken?
Ken Bowles: Yes, we do have -- we have full visibility on the income statement side now. A lot of heavy work done by the team here and the team in Atlanta to achieve that in a very short space of time. So full visibility on an individual entity basis across their full P&L, which really feeds directly into the point Tony is making there around responsibility. You can really only have responsibility for something if you have it to your hand and then can own it. In terms of the balance sheet, that is the next phase of the exercise. We're currently breaking those balance sheets out first. The segment levels there, clearly, then into the division level of mills, box plants and indeed, consumer, and then we go beyond that into the entity level as we get there. But we still have a reasonable view, if you like, where ROIC comes out or ROCE comes out simply because we do have the balance sheet of the segment itself, and we do understand where the capital goes and how we allocate returns associated to not necessarily vital to have it at the plant level, but we'll be at the plant level in a relatively short space of time.
Reinhardt van der Walt: Got it. That's very helpful. It sounds like it's going well. And maybe just a second question just on the CapEx outlook. I think, Tony, you've mentioned before that FY '26 CapEx is going to depend on the market environment. But just as things are today, any steer on just directionally how we should think about CapEx into next year?
Anthony Paul J. Smurfit: Not yet, Reinhardt. We're -- as you know, we're developing a strategic plan for the new Smurfit Westrock and we will give full guidance on that in February of next year and probably some earlier guidance on CapEx towards the end of this year, so you have a feel for at least next year's view. Clearly, we see tremendous opportunity for cost reduction and some growth in certain markets. So that's all going to be baked into our thinking as we go forward over the next 5 years. And as I say, we'll bring that forward. A 5-year view in February, and then we'll bring it forward in next -- for next year, we'll probably give you a bit of steer for next year earlier. But the key for us as a company has always been and will always be to be agile. We're not a company that's going to be doing any grandiose plans of $1 billion CapEx and that sort of stuff. We're in improved mode, develop mode, cost takeout mode, growth mode, but nothing that's going to get us too far ahead of our skis. Okay, everybody, thank you for joining the call today. I really appreciate you joining the call. It's -- I know it's been a busy earnings season for you, and we look forward to continuing to work hard to try and ensure that we get to our stated goals in the years ahead. Thank you all for joining, and have a good morning or good afternoon, wherever you are.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.